Operator: Gentlemen. Thank you for standing by and welcome to the CSG Systems International Inc. Fourth Quarter 2021 Earnings Call. All lines had been put on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session.  Thank you. John Rea, Head of Investor Relations. You may begin your conference.
John Rea: Thank you, Operator, and thanks to everyone for joining us. Like last quarter, we will be working from a slide deck, which can be found on the Investor Relations section of our website. Please take a moment to locate these slides. Today's discussion will contain a number of forward-looking statements. These include but are not limited to statements regarding our projected financial results, our ability to meet our clients’ needs through our products, services, and performance, and our ability to successfully integrate and manage acquired businesses in order to achieve their expected strategic operating and financial goals. While these risks reflect our best current judgment, they are subject to risks and uncertainties that could cause our actual results to differ materially. Please note that these forward-looking statements reflect our opinions only as of the date of this call, and we undertake no obligation to revise or publicly release any revision to these forward-looking statements in light of new or future events. In addition to factors noted during this call, a more comprehensive discussion of our risk factors can be found in today's press release, as well as our most recently filed 10-K and 10-Q, which are all available in the Investor Relations section of our website.  Also, we will discuss certain financial information that is not prepared in accordance with GAAP. We believe that these non-GAAP financial measures, when reviewed in conjunction with our GAAP financial measures, provide investors with greater transparency to the information used by our management team in our financial and operational decision making. For more information regarding our use of non-GAAP financial measures. We refer you to today's earnings release and non-GAAP reconciliation tables on our website, which will also be furnished to the SEC on Form 8-K. With me today on the phone are Brian Shepherd, Chief Executive Officer, and Hai Tran, Chief Financial Officer. With that, I'd like to now turn the call over to Brian.
Brian Shepherd: Thanks, John. For those using our slides today, please join us on Slide 4. Over the past year, I've highlighted how  will strive to win big in the market and consistently outperform by investing in our culture, investing in our talents, and investing in our future ready software platforms. These investments combined with our customer obsessed values, are elevating every part of CSG. Our Q4 and full-year results, prove that our strategy is working. 2021 was an exciting year for CSG, as we surpassed $1 billion in annual revenue for the first time ever. We achieved this milestone by growing revenue 5.6% year-over-year, ending the year with $1.046 billion in revenue.  We also delivered our fastest organic revenue growth in over a decade. Our 2021 business highlights also included the exciting six-year contract renewal and significant expansion with our largest customer, Charter Communications. This deal is the largest deal in company history and make CSGX the BSS provider of choice for all 32 million Charter customers supporting residential and small to medium business for high-speed broadband video and voice. And this giant win proves that CSG has the right SaaS platforms, the right industry leadership, and the right talent to win meaningful market share away from our competitors. Further on the customer renewal front we announced an exciting renewal with DISH Networks, our third largest customer.  The contract extends our relationship with DISH for four and a half more years with contractual guarantees. And it paves the way to celebrate our 30th anniversary as we help this innovative leader achieved greater success. So, what does all this contract renewals success and expansion mean? It means that these renewals become the springboard for CSG's continued organic revenue growth in 2022 and beyond. Additionally, when combined with our large healthy sales pipeline with more late-stage deal value than ever it also means that CSG is increasing our 2022 revenue guidance which I will share the details on shortly.  Turning to Slide 5, I will provide some updates on five strategic objectives that will continue to increase our velocity. At this point, these themes should be familiar to everyone who has been following our progress, the last few quarters. CSG aspires to more than double our long-term organic revenue growth rate in the 2% to 6% range, which we proudly achieved at the upper end of 2021. We aim to add operating scale and expand our operating leverage by growing to at least $1.5 billion in revenue by year-end 2025, with a stretched goal of $2 billion in revenue which is ambitious, but not out of the realm of possibility.  We also strive to be the number one SaaS provider of choice, for global CSPs by providing the most value adding technology solutions and by being easier to do business with than our competitors. We plan further revenue diversification as we expand in big, faster growth industry verticals with more direct sales and channel partner success in retail government, financial services, healthcare technology, and more. And finally, we will complement our accelerated organic revenue growth with disciplined, value-enhancing M&A to turbocharge the value we bring our customers. Starting on slide six, let's get into a little more detail on the each.  First, with respect to doubling our organic growth. Our 2021 results prove that we're delivering on this commitment. We reported $1.046 billion in total revenue, resulting in 5.6% year-over-year growth. Even better, our full-year adjusted revenue was $980 million, representing 6.2% year-over-year growth. Both are the fastest organic annual revenue growth for CSG in over a decade. I want to take a moment to thank our 5000-plus CSGers all around the world for the big impact you all made in 2021, your dedication, your excellence, and your continued obsession to wow our customers each and every day are what's powering CSG's resurgence.  Thank you, everyone. On the right-hand side of slide 6, second, we committed to boldly elevate our market aspirations, and this is exactly what we're doing and we'll continue to do. Last quarter, we unveiled CSG 's $2 billion and beyond growth strategy, so let me re-share some of the details. By 2025, we aspire to gain scale in the markets where we compete to exceed $1.5 billion to $2 billion annual revenues. We aspire to expand CSG's operating leverage and use our strong, healthy balance-sheet to deliver EPS growth that outpaces revenue growth.  And we aspire to consistently deliver better and better business results so that our shareholders are rewarded with the trading multiples that they deserve when they invest in a purpose - driven, faster growth, multi-industry vertical SaaS platform company like CSG. The question we keep getting is how will CSG get there? $2 billion revenue, EPS growth that outpaces revenue in a true SaaS trading multiple sounds ambitious. You're right, it is an ambitious plan, yet this management team absolutely believes that we can deliver against it, with the same discipline and high integrity, that consistently defines CSG. Our disciplined strategic plan includes a base case component and a stretched component.  Our base case we aspire to exceed $1.5 billion in revenue which means even if we come up a little short against our stretched case ambitions. CSG will still grow revenue by over 50% and add over $500 million in profitable recurring revenue by 2025 to reach the $2 billion stretched case revenue aspiration over the next five years, we will continue to allocate capital to its most productive and value-added use, and to eventually close bigger scale acquisitions, that become even more transformational for both CSG and the industries that we serve.  On the last point I would like to reinforce a key point shared on many analyst and investor calls. This management team is laser focused on creating shareholder value not building empires. We will hold ourselves accountable to adding scale, accelerating growth, expanding our operating leverage, and deploying capital to its highest and most productive use, all with a focus on rewarding our shareholders, just like we work hard every day to delight our customers and our employees.  Turning to Slide 7, we are committed to being the number one technology provider of choice for communication service providers globally. And our continued sales success with both North American and Global CSPs prove that we're executing well against this strategic priority. In the cable market, we have long-term guaranteed contracts to be the BSS provider of choice for all 65 million combined Comcast and Charter subscribers two largest cable providers, with CSG having migrated tens of millions of subscribers, off of both Amdocs and NetCracker over the last 6 years, we plan to build on this market share success in the years ahead.  Working hand-in-hand with talented colleagues at Charter, CSGS also successfully migrated over 5 million subscribers in the Ohio, Wisconsin, and Kansas City Market in 2021 --, including completing over 4 million migrations in the second half of 2021. While the timing could still vary a little, we anticipate migrating all remaining charter customers over the next nine to 15 months, and CSG's success is not limited to North America. In the global telecom market, we continue to grow with new wins and contract extensions with leading telecom operators all around the world. In early 2021, we signed an exciting new deal with Mobily, the second-largest wireless operator in Saudi Arabia with nearly 14 million customers.  Mobily was looking for a partner to future proof their business, accelerate innovation, and improve their customer experience. Demonstrating our strength as a technology leader in wireless, CSG was selected as the prime systems integrator to deploy our full revenue management platform for this digital leader. We expect big growth to continue in our Middle East and Africa telecom business.  Another exciting global telecom win is TalkTalk, the UK's leading value for money connectivity provider. CSG's cloud-based end-to-end SaaS platform enable TalkTalk to launch the country's first ever Netflix subscription outside of a traditional TV bundle. With CSG's marketplace solution at the heart of its entertainment operations, TalkTalk has the to scalability to add new content providers and evolve its offering to keep pace with the ever-changing consumer demands. And finally in May, we announced a multi-year contract expansion with MTN South Africa, the largest mobile network operator in Africa with over 30 million consumers.  As part of this agreement, we are advancing and enhancing MTN's digital ecosystem, which includes migrating MTN's enterprise and consumer customers to a new technology platform that will drive future growth and enable rapid delivery of innovative new products and services. We look forward to continuing our journey with MTN as we help them digitally transform their business. Turning to Slide 8, I shared that CSG would continue diversifying our industry vertical revenue.  And we did exactly this in 2021 as we grew revenue coming from large, faster growth, new industry verticals. Since 2017, CSG has grown revenue from exciting new industry verticals, like retail government financial services and healthcare from $55 million or 7% of total revenue to more than $250 million or 24% of total revenue this year. Being a partner of choice for some of the biggest brands in higher growth industry verticals where CSG helps them digitize and modernize their customer engagement and their Cloud payments is a game changer for CSG.  During the year, we won and expanded many exciting new deals with leading brands and faster growth there gaining Industry verticals. We won, and later in 2021 expanded deals with 2 of the largest drugstores change in the U.S. and one of the largest retailers in the world. To also elected CSG software to power their retail and clinic customer engagements. Our solution is increasingly important to all 3 of these large customers, given the unprecedented number of inbound requests that healthcare providers, retail pharmacies, and government agencies are getting related to COVID vaccinations, appointments, and prescriptions.  We also expanded our relationship with one of the largest software companies in the world, as they continue to unlock value in different parts of their business by leveraging CSG's innovative, conversational AI, short for artificial intelligence, SaaS platform. We also expanded our penetration in the fitness market by signing a good deal with 24 Hour Fitness, a leading fitness center chain, to digitize their customer engagement. And finally, we closed the deal with a leading insurance provider to also digitize their customer engagement.  This important win adds another great brand to our enterprise grade customer engagement software platform which also serves the property and casualty insurance market. In the payments market we continue to see positive signs that post-Covid growth is beginning to return with strong industry, vertical sales results, propelled by our industry leading recurring revenue, SaaS payment platform. CSGS Forte provides award-winning full PayFac, short for Payment facilitation, capabilities for over 81000 active merchants, and ISV partners who need ACH credit, payment gateway, and payment processing capabilities, serving a wide range of recurring revenue industry verticals.  During 2021 we signed key wins in the government and healthcare ISV markets to further extend our payments leadership in these critical biller direct recurring revenue industry verticals. Also, as a leader in ACH processing, we continue to add scale by signing ISV partners in fast-growing industry verticals like Property Management. Looking ahead, we built an exciting sales pipeline across multiple verticals in payments that are contributing to both sequential quarter-over-quarter and Q4 year-over-year organic revenue growth, which bodes well for our return to double-digit organic growth in the payments market.  Fifth, we told you that CSG would be a disciplined, strategic acquirer of SaaS platforms, which is exactly what we did in 2021, we expanded our offering in the digital customer engagement market with the purchase of Kitewheel, a SaaS based recurring revenue company that supports real-time interaction management through omnichannel journey orchestration, and journey analytics. I'm pleased to report that the post-merger integration is progressing well, as we added and integrated fantastic new talent and SaaS capabilities. A few months ago, we unveiled CSG Xponent, a bold and innovative new multi-vertical market offering that combines CSG's proven digital engagement SaaS platform with our new journey as the service capabilities that Kitewheel brings to the table.  This new micro services-based SaaS platform drive differentiated digital experiences that are proactive, predictive, and personalized as CSG is helping leading brands, compete and win with great customer experience all around the world. Our second-half sales performance with digital customer engagement market was also encouraging, as we signed an extended deal with a number of leading brands in financial services and retail. We couldn't be more excited about our digital customer engagement growth opportunities in 2022 and beyond. In revenue management, we made two value-adding acquisitions this year.  First, we acquired Tango Telecom, a leading supplier of convergent policy control and messaging solutions. The acquisition was a combination of a long-standing relationship that delivers end to end digital monetization and 5G solutions to some of the world's largest and most successful CSPs. Second, we announced in October that CSG acquired DGIT Systems, a configure price " CPQ " for short, and order management technology platform that has a strong presence and adoption in the global telecommunications market.  DGIT is recognized by TM Forum as a leading multi-cloud microservices platform, which has won 11 major industry awards since 2015, including TM Forum 's most innovative use of assets award, Excellent Award for Open APIs and Outstanding Architecture. As we look ahead, we will remain laser-focused on winning more and more bigger deals in these exciting new arenas, and unlocking even greater value from existing and new acquisitions that will help CSG grow and elevate even more. As I wrap up on slide 9, across all five strategic priorities, the results speak for themselves. CSG is building meaningful business momentum that we fully expect will fuel our continued long-term growth and transformation.  We hope you see the same things we do when we analyze our business. CSG's purpose is bold and inspiring. Our strategic vision and our daily execution are focused and disciplined, and we are elevating our culture, our diversity, and our global talent. And on this note, I'm thrilled introduce Hai Tran CSG, new CFO. Hai and I have been working together now for several months, and I couldn't be more excited by what he brings to the table. He is proving track record as a strategic, growth-oriented executive with deep public company technology, and global SaaS experience, making the perfect fit for CSG at this transformative moment in our history. With that as an introduction, I will turn it over to Hai to provide more detail on Q4 and full-year 2021 financial results prior to digging deeper into our 2022 guidance.
Hai Tran: Thank you, Brian, for the kind introduction. Before I get into my flight, I wanted to take a moment to say how excited I am to join CSGS at this truly transformational time in the company's history. In passion about helping companies grow and that CSG is having all the critical ingredients for accelerating growth, including a robust strategy focused on being a purpose driven SaaS platform company, that helps the biggest and best brand monetize and engage their customers in digital world. A strong balance sheet coupled with long-term customer relationships, passionate leadership and an empowering culture.  In fact, CSG guiding principles and mission resonate deeply with these new upcoming customers and employees at the center of everything we do, which will drive long-term and sustain value creation for all of our stakeholders. And now, let's review our financial performance and jump right into Slide 11. We generated $275 million of revenue and $258 million of non-GAAP adjusted revenue during the fourth quarter. These results represent 5.6% and 5.9% year-over-year growth respectively, which were both substantially driven by organic growth.  For the full-year, both our revenue and non-GAAP adjusted revenue were up approximately 6% year-over-year. The year-over-year increase in revenue and non-GAAP adjusted revenue was driven primarily by the continued growth of our revenue management product platforms, where we serve many of the largest communication service providers in the world. In addition, we're seeing healthy growth in our customer engagement offerings, where we serve customers in large high growth industry vertical. While our revenue growth was primarily organic, inorganic growth through acquisitions is an important component of our overall growth strategy, focused on providing us access to and or increased penetration into multiple industry verticals where we can help our customers navigate and execute on their digital road map.  Throughout 2021 you have seen us execute on that strategy as we closed multiple new acquisitions including Tango Telecom, Kitewheel, and DGIT Systems. As we accelerate our inorganic revenue growth in the quarters ahead, we will remain disciplined by focusing on the strategic, financial, and cultural, and integration fit, with an appropriate risk return profile for each acquisition we produce. Our fourth-quarter, non-GAAP operating income was $40 million, or 15.6% of non-GAAP adjusted revenue, as compared to $43 million or 17.7% in the same prior year period. Our Q4 2021 result was impacted by elevated one-time severance expense associated with changes intended that strengthened our growth oriented executive leadership team, which totaled approximately $2 million.  We do not anticipate this elevated level of severance expense to recur in 2022. For the full year, on non-GAAP operating margin as a percentage of non-GAAP adjusted revenue was 16.5%, consistent with our longer-term target range of between 16% and 18%. Our non-GAAP adjusted EBITDA was $66 million for the fourth quarter, or 21.7% of non-GAAP adjusted revenue as compared to $57 million or 23.3% in the same prior year period. For the full year, our non-GAAP adjusted EBITDA was $221 million or 22.6% of non-GAAP adjusted revenue.  For the full year our non-GAAP EPS was $3.35. A 7.4% increase from the same prior year period. As proud as we are to be accelerating top line revenue growth, we are equally excited to deliver strong EPS growth for our shareholders, where our bottom line grew even faster than our top line. Turning to Slide 12, I will go through the balance-sheet. Our cash flow generation, and shareholder returns for the quarter and full year. Our fourth-quarter 2021 cash flow from operations was $52 million as compared to $67 million in the prior year period. Further, we generated non-GAAP free cash flows of $48 million in Q4 of 2021 as compared to $52 million in Q4 of 2020. For the full year, we delivered a $114 million in free cash flow, which as we expected was a decrease in the previous years a $144 million.  As we mentioned on our Q4 2020 earnings call, are recorded 2020 results benefited from 1. Strong accounts receivable collections that were well in excess of historical trends and did not repeat in 2021, and 2, certain costs that were incurred in 2020, that were paid in 2021. Including separation costs related to the departure of our former CEO, a company-wide COVID related cash bonus of $500 that were given the first year of the COVID pandemic and COVID -related deferred tax payments.  Additionally, the aforementioned elevated severance expense of $2 million in Q4 2021 was all for the detrimental to our Q4 and full-year cash flow. The combination of these one-time and timing-related items shifted the working capital impact between 2020 and 2021. That said -- our full year cash flow generated from operations before working -- from $164 million in 2020 to $179 -- million in 2021, a 9.1% year-over-year increase in cash flow from operating --which is the highest it's been in over a decade.  Moving on, we ended the fourth quarter with $234 million of cash in short-term investment. That, along with our outstanding debt at quarter end, results in a $144 million in net debt and a net debt leverage ratio of 0.6  As a reminder, we refinanced our existing term bank debt and revolving credit agreement in September. This transaction had multiple benefits, including extending the tenure of our debt, lowering our burn comp, and increasing our currently on continued to review ways to opportunistically enhance our capital structure. During the fourth quarter of 2021, we declared $8 million in dividends.  In addition, we repurchased $16 million of common stock under our stock repurchase program. Looking ahead, we expect our 2022 share repurchases to offset the expected dilution from employees  Moving on to Slide 13, I'll conclude with 2022 guidance and some key takes to guidance, and we are pleased to increase our revenue range by $10 million, with 2022 revenue expected to range from $1.07 billion to $1.11 billion and our non-GAAP adjusted revenue to range from $1 billion and $1.3 billion. As a reminder, our revenue generation that's slightly back-end waiting. As we have historically generated more revenue in the second half of any given year versus the first half. We expect that prior to more revenue coming in mid to later 2022, as our new sales bookings get implemented and revenues recognized. As such, the 2% of our 2022 revenue generation that occurred during the second half of the year. Similar to 2021 we also expect our non-GAAP adjusted operating margin percentage to range between   Even after factoring in customer no discount well within our long-term target range of 16% to 18%. We anticipate our non-GAAP EPS to range between $3.44 to $3.68 based on a non-GAAP tax rate of 27.4%, and a share count of $32.0 million shares for the year. Non-GAAP adjusted EBITDA is expected to range between $225 million to $236 million. And finally, we expect the range of free cash flows would be a $115 million to $125 million based on expected operating cash flows of a $150 million to a $170 million with CapEx expected to come in between $35 million to $45 million.  The driver for our increased CAPEX range year-over-year is additional plant monetization investments, to drive improved efficiencies, and to a lesser extent, towards buying of IT related equipment. And finally, I want to leave you with a few concluding thoughts. 2021 was a very strong year for CSG. We believe that the momentum we are creating in the market, the results that we are generating, and the laser focus that this leadership team has on executing against our strategic priorities, positions us well in the marketplace, accelerating our revenue growth and diversifying our industry verticals, including closing and integrating discipline, value-adding acquisitions. And we believe this investment in our future strategic growth, combined with our consistent capital distribution in the form of both dividends and share buybacks, will serve our shareholders well. With that, I'll turn it over to the operator to facilitate the question-and-answer session.
Operator:  Your first question comes from Maggie Nolan with William Blair. Your line is open.
Maggie Nolan: Thank you for taking my questions. Hi, thanks for that color on what the revenue first half versus second half would look like. I'm wondering if there's anything qualitatively you can share with us about what margins will look like over the course of the year. And then any other puts and takes on margins going into 2022 that we should be thinking about outside of that one-time payment that you referenced?
Hai Tran: Yes. I mean, I would suggest that margin would improve throughout the year as well. Maggie, once again, as I said, the part of the drivers of the spreading of the revenue. It's just a timing issue right that we ask discounts that are hitting us January one that everybody knows about, and then we had new business that takes some time for us to ramp up and contribute meaningfully over time. So, we do expect the margins in the back half of the year to be better than margins in the first half of the year.
Maggie Nolan: That's great. Thank you. And then Brian, could you give a little bit more color on some of the overall sales pipeline across your solution areas? And specifically, within CX and payments would be helpful. Thank you.
Brian Shepherd: No -- thanks, Maggie. Appreciate the questions. So yeah, across the board as we've been talking about the last several quarters, our pipeline has never been bigger. We've never had more mega deals, larger deals in the pipeline, we've never had more late-stage -- we have a six-stage sales pipeline. If kind of you look across our portfolio, we like what we see in terms of deals in the shape of that pipeline across all parts of our business, specifically in the digital engagement -- customer engagement space. Multi-vertical, we love the number of deals, we love to bigger brands we're working with So, these new verticals, and it's just a matter of continuing to execute on the sales.  We announced that CSG Xponent launch around the journey orchestration, the journey-as-a-service capability that can really provide a predictive -- proactive experience, that's resonating a lot in this recap, and that a closed in the last couple of quarters really good deals with that solution, and gives us the ability to enter rinse and repeat and grow sell other brands and verticals. In the payment space, we've seen good steady progress on our sales bookings in payments with the PayFac payment gateway payment processing.  Then sometimes you see a slight time period on which to activate and on board the transaction volumes. And we're seeing a lot of those deals that we've actually closed in prior quarters, then begin to activate that we made to come on. And that's why we've been growing increasingly optimistic about the return to double-digit. We liked what we saw in the fourth quarter and we continue to push to get to double-digit organic. But the other thing maybe just adds a little color on the payments.  What we really like is also our ISV channel sales acceleration with partners. We do direct sales, but we also knew a lot with ISV and awards that are CSGS Q4 tape platforms have one against some of the biggest players to the industry best API, best payment gateway, merely as attractive and feeling to those ISV that could embed all of our solutions or parts of our solutions may do the selling for us and when we pick up the volume as they expand, so we do like what we're seeing a lot on those parts of the business.
Maggie Nolan: Thank you, and congrats on the strong year.
Brian Shepherd: Thank you very much, Maggie. We appreciate it.
Operator: Your next question comes from the line of Tom Roderick with Stifel. Your line is open.
Tom Roderick: Stan and thank you for taking my questions. And hi, I should say, welcome aboard on a nice first quarter here. Brian let me start with you because it's hard not -- it's too tempting not to hit the big slide there where you lay out a billion and a half base case goal for 25 and a 2 billion stretch goal so if you take base case, it's kind of like 13, 14% compounded growth and stretched goal maybe closer to 25%. I'd love to hear just the concepts around how much of that would be sort of driven by organic versus M&A. And then on the M&A side, how appealing is it to sort of look outside of the core telco markets into places like financial services, technology and particularly healthcare and life sciences that seemed to hold some appeal relative to where the customer engagement -- digital engagement is going, and some of the other things you can do on the payment side.
Brian Shepherd: Thanks for the question, Tom. Love me questions, I hope you're doing well. So, on getting to the $1.5 billion, growing by 50% top-line, we still have the range of 2% to 6% organic, as you saw this year, we came in at the top end of the range. We aspire to continue to come in at midpoint to top into that range and continue to get better and better. We have made what we think are smart but disciplined investments in direct sales, in brand awareness, in lead generation and in channel partner sale in some of these higher growth areas like the digital customer engagement solution under the payments that Maggie was asking about.  And we hold ourselves accountable to make sure that those investments deliver a return, as well as making sure that we have that leading SaaS platform capability that can continue to build that strong organic sale. And so, getting to the 13% or 14%, you're exactly right. Getting to the upper end of our target or even beating our organic sales target we use the sprays; we earned the right to grow. And we do that by delivering each and every quarter, but then what we constantly look for is not just buying calories is more growth.  We actually look at where we can find additive SaaS, higher growth platforms that can be relevant for cable or Telcom customers, or they can be relevant for multi-vertical s that kind of have cross unit, cross vertical appeal around that. And that would get us the combination of those two, or where would actually get us to the $1.5 billion and we try to stay quite disciplined and yet really pushing the envelope in terms of the value we can create for our customers. They've been leading value for shareholders, and that's why in years talking a lot about top-line growth but bottom line growing as fast as top line.  And that gets back to those earnings new ways to grow and how we do more. On the core side of the business, it also means we've got to continue to win market share. And so, this is something that -- we love the fact that we have high recurring revenue and we have stickiness with our revenue management solutions. We also believe we can continue to win market share, like we've done over the last several years.  And with the deal we announced with Charter, we got to continue to do that both in the cable and in the global telecom space, and we do that by bringing more value -- being easier to do business with, and just winning more and more deals and then letting our customers be some of our great customer references and testimonials for the newer deals we're trying to get across the goal line. Specifically, on the revenue diversity occasion, we talked in prior quarters about the fact that we've gotten to 24% we aspire to get to 30% of our revenue to be -- to come from financial services, retail, healthcare. If we can serve some of the giant customers that we're serving extremely well, first, we can continue to land and expand and do even more with those big brands. And if we can wow them, we can wow dozens of other brands in the same industry verticals in the U.S. and around the world. So that's what we talk about in this, rinse and repeat, and just continuing to grow our goal -- our global sales.
Tom Roderick: Yeah, that's -- Fantastic  around. I mean, if I think about the goal to grow EPS faster than revenue, and conceptualize that with some of the acquisitions you've made, obviously, they've got to work well, right? They have to integrate well, and then the technical integrations have to pan out over time. Perhaps you talk about that in the context of Kitewheel and DGIT. I know it's a little bit early on both of those, but as you look at the Proofpoint’s customers that are leaning into the core platform and then adopting Kitewheel and perhaps DGIT or Forte on the payment side, what do those technical integration proof points look like? How much work have you had to do in the backend, and how does that scale go forward?
Brian Shepherd: Yes. There are a lot in there. Let me go just maybe take it in a few different steps. So, one, we did not treat our business at CSG as a one-size fits all. So, we have faster growth earlier stage, multi-vertical, solutions, and we set very target strategic parameters around what enables us to invest feeble capital and what's a good, healthy return. And in the day, it all comes down to increase sales pipeline, increased sales win rate, growing our revenue at a much faster pace, we have units inside the CSG that could be strong, strong double-digit, approach in your rule of 40 and we want to continue to make sure that those units continue to perform quarter in quarter out.  We never take it for granted it's proven by ourselves win rate and work the points they put on the board. I think the second point is we see our larger more mature areas in 2021 and we don't think that's an anomaly, can continue to grow at a much healthier organic revenue we may have. We also were those businesses that app scale. We can do a continued better job of driving operating leverage which is why we are able to get the renewal discounts we need to two of our customers and still expand EPS and operating margin in 2022 by gaining operating scale operating leverage that can then lead to accommodation of smart investments of these growth units.  And some of what you talked about, as well as delivering a nice return to our shareholders in the terms of repurchase dividends, and then funding our strategic investments. On the assets, you talked about acquisition, Tom, or about investment in R&D. After we acquired Forte as a great example analogy for some of these other businesses, we did make significant investments in quality of their AWS cloud platform, we expanded the capability, we did auto provisioning, and we really are a lot of great -- thanks to our technology and ops teams in Forte, we also expanded the brand awareness in the sales and marketing, and effectively, we're using the same discipline playbook for Kitewheel or Digit to roll-out -- we just announced the CSG Xponent launch in Q4. We just announced this week a new launch of a product launch around the Digit solution for enterprise  on the telco side, and we have made additional investments in R&D to be more value-adding to our customers, and try to show them the value to then lead to the sales win rate acceleration.
Tom Roderick: Fantastic. Thank you for the details. I'll jump back in queue. Appreciate it, Brian.
Brian Shepherd: Thanks, Tom.
Operator: Your next question comes from the line of Greg Burns with Sidoti and Company. Your line is open.
Greg Burns: Good afternoon. What percent of North American cable subscribers are currently on your BSS platform?
Brian Shepherd: Great question. Hey, Greg, I hope you're doing well. I will follow up. I don't have the precise. I want to say it's the vast majority. I would've said it's approaching 70 to 80, maybe even higher, but we'll get you the exact percentage.
Greg Burns: Okay. And then I guess obviously, large percent of the market already, but when we think about maybe that 25 or so remaining subscribers, has the conversation in any way change, has anyone come to you now that you've closed Charter, you've kind of prove that you could port over a significant number of customers pretty quickly and seamlessly. How's the -- has the conversations changed anyway and have you seen any opportunity to go after the rest of that business?
Brian Shepherd: Yeah, I mean, nothing that I can comment on specifically, but I would just say even prior to the Charter  We try to be active in all of the large customers in North America, but also not limited to North America in terms of value if we can deliver fantastic value to Comcast, Charter dish, and many of the other cable providers in North America and globally, we can do the same for them, what we've always found is that there needs to be a combination or there's something that's going on with the business, or maybe more functionality, they may not be pleased with their incumbent.  They need to improve the speed and agility at which their platforms can support their business or they can bring more cost-effective best. So usually there is a trigger that causes a customer to stick their head up and say, now is the time to really look at that. And what we're doing in all of our sales calls in ASDIN is continuing to tell the story of what we think the value-add is, why it's a low-risk move. We've proven that with our successful conversions at the two margins, Comcast and Charter. So, lots of dialogue, nothing that I could comment on specifically beyond that at this stage.
Greg Burns: Okay. And then we look at the revenue split between Charter and Comcast. I think Comcast so as more subscribers on your billing platform, but Charter has higher revenue. So what services is Charter consuming that Comcast didn't? Is there any opportunity to maybe up sell more into Comcast?
Brian Shepherd: I mean, with all of our business objectives and sales objectives for the teams that run the accounts, the businesses they always have targets to expand and grow more in every one of our customers. We don't make its limited adjusters to by any stretch. But really what we've seen it at Charter with some of the stuff they have done there's some similarity, but there's certain areas where they just relied on us for more where some of our customers including Comcast, sometimes we want to build some of the edge systems themselves and want to do some of the integration themselves, and it really just depends on the strategy of that. Do I think there's head upside in both accounts as big as those -- and successful as those two big customers are? There's always a ton of headroom and we just got to work it day in, day out to try to bring innovative ideas, show them the value of what they could do by even turning over more of their business to CSG and what we're doing. And that's always a focus in every one of our customers all around the world.
Greg Burns: Okay. Maybe to that point, we are looking at the really strong growth in Carter with Charter year-over-year. Whereas that growth coming from? Is that from like broadband subscriber growth there or is it from incremental services? Can you just maybe touch on that a little bit?
Brian Shepherd: Yes. It's from all of the above. So obviously the nice broadband benefited us in a significant way and because we price on a per subscriber basis, regardless if that number of services are rich services vacate, we've been benefiting from that. We've also been benefiting as we just bring them more value, bringing innovative ideas instead of doing it in-house or using someone else provide some of those solutions. They turned to CSG if sort to be more small product sales, it can be more services, it can be customizing things that we do for them that build within to our SaaS platform, it's all of the above.
Greg Burns: Okay. Great thank you.
Brian Shepherd: Thanks so much, Greg.
Operator: There are no further questions at this time. I'll turn the call back over to Brian Shepherd for closing remarks.
Brian Shepherd: Well, I would just say thank you for the time and joining us on the call today. Hopefully, it's clear -- we have a clear focus in our vision, we're excited by what's going on in the business. We thank our global leadership team and our global employees. We expect to, every quarter, deliver better and better results. We know that's what our shareholders are looking for, and we're going to hold ourselves accountable to do that. So, look forward to talking to you in the quarters ahead. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.